Operator: Good afternoon, and welcome to the TaskUs Fourth Quarter and Full Year 2025 Earnings Call. My name is Victor, and I'll be your conference facilitator today. [Operator Instructions] I would now like to introduce Trent Thrash, Senior Vice President of Corporate Development & Investor Relations. Trent, you may begin.
Trent Thrash: Hello, everyone, and thank you for joining us for today's earnings call. Joining me are Bryce Maddock, our Co-Founder and Chief Executive Officer; and Balaji Sekar, our Chief Financial Officer. Full details of our results and additional management commentary are available in our earnings release, which can be found on the Investor Relations section of the website at ir.taskus.com. We have also posted supplemental information on our website, including an investor presentation and an Excel-based financial metrics file. Please note, this call is being simultaneously webcast on the Investor Relations section of our website. Before we start, I would like to remind you that the following discussion contains forward-looking statements within the meaning of federal securities laws, including, but not limited to, statements regarding our future financial results and management's expectations and plans for the business. These statements are neither promises nor guarantees and involve risks and uncertainties that may cause actual results to differ materially from those discussed here. You should not place undue reliance on any forward-looking statements. Factors that could cause actual results to differ from these forward-looking statements can be found in our Annual Report on Form 10-K, which was filed with the SEC in March of last year. This filing, which may be supplemented with subsequent periodic reports, is accessible on the SEC website and our Investor Relations website. We expect our next 10-K to be filed with the SEC in early March. Any forward-looking statements made on today's conference call, including responses to questions, are based on current expectations as of today, and TaskUs assumes no obligation to update or revise them, whether as a result of new developments or otherwise, except as required by law. These discussions throughout today's call contain non-GAAP financial measures. For a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP metric, please see our earnings press release, which is available in the IR section of our website. Now I will turn the call over to Bryce Maddock, our Co-Founder and Chief Executive Officer. Bryce?
Bryce Maddock: Thank you, Trent. Good afternoon, everyone, and thank you for joining us. As many of you may have seen, today, we announced that our long-time CFO, Balaji Sekar, is leaving TaskUs at the end of the quarter to pursue another opportunity with a private company outside the industry. So before discussing our 2025 results, I want to sincerely thank Balaji for his service to TaskUs. During Balaji's nearly 10 years at TaskUs, we grew from being a start-up of a few thousand, based exclusively in the Philippines to a global corporation with over 65,000 teammates spread across 13 different countries. Along the way, Balaji was critical to developing our partnership with Blackstone and ultimately leading our successful IPO in 2021. Balaji has been a reliable, trusted adviser to our entire C-suite and our Board of Directors. He's also been an incredible partner to me in the business and someone I'm very proud to call a friend. Balaji will be missed, but we are fortunate to have a deep bench of leadership while we execute on a search for a new CFO. I'm grateful for Balaji's willingness to support a seamless transition by continuing to serve as an adviser to me, our next CFO and Trent Thrash, who will serve as Interim TaskUs CFO. Today, we also announced that we have secured commitments to amend our existing credit agreement to address our upcoming 2027 term loan maturity. As part of this comprehensive refinancing, we will increase our term loan to $500 million and obtain access to a $100 million revolving line of credit. In connection with the refinancing commitments, we also declared a $3.65 per share special dividend payable to all shareholders in March of 2026. Depending on the share count on the record date, we currently estimate the total dividend payment will be approximately $333 million. As we discussed on our Q3 earnings call, these actions are consistent with our desire to return capital to shareholders at a time when we believe the market has fundamentally undervalued our strong track record of performance, including our healthy balance sheet and our consistent revenue, earnings and cash flow generation. Following the closing of the refinancing and payment of the dividend, our balance sheet will have a net debt leverage ratio of approximately 1.5x our 2025 adjusted EBITDA. We believe this is a prudent level of leverage to maintain in the business. Importantly, this dividend does not change our plans to invest aggressively to transform our business for the AI era. With our strong cash generation and the flexible terms of the amended credit agreement, we will have ample room to increase spending and accelerate our transformation. In 2026, we plan to spend more than $25 million on AI transformation and emerging growth initiatives. With that, let's jump into our results. In the fourth quarter, we delivered $313 million in revenue, representing 14.1% year-over-year growth and another quarterly record revenue for TaskUs. As a result of the incredible work of our global teammates, we outperformed the top end of our quarterly guidance by nearly $10 million. In terms of profitability, we delivered $61.4 million in adjusted EBITDA in the quarter for an adjusted EBITDA margin of 19.6%. For the full year 2025, we delivered $1.18 billion in revenue or 19% year-over-year growth and $249.1 million in adjusted EBITDA, representing an adjusted EBITDA margin of 21%. We believe that both our revenue growth and adjusted EBITDA margins are among the best in the industry and that put together, they make TaskUs a clear leader in our space. On behalf of the entire TaskUs leadership team, I want to express my gratitude for our teammates who delivered outstanding results for our clients and drove record-breaking revenue and adjusted EBITDA for our shareholders in 2025. Next, I'll recap some of the highlights from our Q4 and full year 2025 performance before discussing our 2026 outlook. Balaji will then walk through our financials and 2026 guidance in greater detail. Q4 revenues were $313 million, a 14.1% increase on a year-over-year basis. While our largest client grew revenue 18% year-over-year, growth at clients outside our largest client accelerated once again to an annual rate of 12.7%. Our sales and client service teams once again delivered remarkable performance in Q4, positioning us for a solid start to 2026. Approximately 60% of our Q4 signings were driven by wins from existing clients. We were pleased with the level of new and existing client bookings and that our signings were less weighted towards our largest client during the quarter. As a result, overall sales in Q4 were well balanced across our client portfolio and delivery locations. Turning to our service line growth. Q4 Digital Customer Experience revenue increased by 4.8% compared to Q4 of 2024, resulting in over 8% full year growth. DCX growth was driven primarily by our technology and health care verticals. I'm pleased to report that TaskUs was recently named a major contender and star performer in Everest Group's B2B Sales Service Peak Matrix Assessment for 2025. Additionally, for a third year in a row, we were also named a Major Contender and Star Performer in Everest Group's Customer Experience Management Services PEAK Matrix for 2025 for EMEA and a major contender for the Americas. In terms of DCX signings in Q4, despite the ongoing narrative around AI, our sales team continued to see strong demand for CX solutions. We again saw broad-based signings primarily across our financial services, technology, retail and commerce and health care verticals. While we're automating simple, repeatable customer interactions, our customers continue to invest in premium care offerings delivered by talented human beings. Here, we are seeing increases in our clients' investments to support their most valuable customers, intervene in the moments that matter and drive revenue growth through customer success and sales motions. Moving on to Trust & Safety. This service line again delivered strong performance in Q4 with 18% year-over-year quarterly revenue growth, primarily driven by existing client growth in our social media vertical. For the full year, year-over-year growth was even stronger at nearly 24%. We are proud that the quality of our content moderation solutions were again recognized by the Everest Group in 2025 with TaskUs being named a leader for Trust & Safety for a third year in a row. The vast majority of our Q4 Trust & Safety signings were concentrated in both new and existing clients in our financial services, technology and entertainment and gaming verticals, further diversifying this vertical away from our largest client. AI Services continue to be our fastest-growing service line, delivering 46% year-over-year growth in Q4 and nearly 59% for the full year. We believe this growth is a direct reflection of our investments in designing industry-leading solutions in AI safety, AI model development and maintenance and increasingly in our solutions focused on autonomous vehicles and robotics. Q4's remarkable growth was driven by our ability to successfully deliver our AI Services across a broad set of client verticals, including travel and transportation, social media, technology and entertainment and gaming, amongst others. AI Services made up nearly 40% of total signings in Q4. As a result, we believe that AI Services will once again be our fastest-growing service line in 2026. From a vertical perspective, AIS signings were strongest across both new and existing autonomous vehicle, social media and technology clients. Moving on from our service lines. Let's turn to strategy. At the start of last year, I outlined a 3-part blueprint that would reinvent our business for the AI era. Our focus is to transform from a traditional service provider to a hybrid technology plus talent solutions partner. As part of this strategy, we envision a multiyear move away from selling time-based services towards selling solutions that combine agentic technology, consulting and human talent. As we kick off 2026, I want to provide an update on each of the 3 parts of this strategy. How did we do in 2025 and where are we headed in 2026. First, we're doubling down our AI Services offering. At more than $200 million in revenue for 2025, AI Services is our fastest-growing service line, delivering year-over-year revenue growth in excess of 30% for 5 consecutive quarters. Here, we provide the human and technology-led services required to develop AI models. We collect, create and curate the data needed to develop both generative and agentic AI systems. We also evaluate these models, both pre and post deployment to ensure their quality and safety. In 2026, we expect to see significant growth from our AI safety, autonomous vehicles and robotics practices, all areas, we believe, will have enduring growth dynamics well into the future. Second, we are significantly increasing investments in our agentic AI consulting practice to create an enduring new revenue stream from the AI revolution. This involves supporting the development, training, and maintenance of AI agents from partners like Regal and Decagon. These agentic agents automate a portion of client support volumes while humans continue to handle complex, critical and premium interactions. To bring our agentic AI consulting strategy to life, I'd like to highlight a recent success with a client in a regulated industry. This client required a solution that could drive operational efficiencies without compromising the quality and tone their customers expect. They selected TaskUs to implement an AI-enabled workflow solution on top of TaskUs' traditional human-led CX services. We leveraged the combination of technology from one of our partners, TaskUs' deep operational knowledge and our systems integration capabilities to design and deploy agentic conversational automation. We refined call flows, prompts and knowledge content, then integrated the solution into day-to-day operations. The automated experience now handles a defined set of routine rules-based requests with seamless escalation to teammates for complex and sensitive cases. This shift enables our teammates to focus on the interactions where empathy and judgment matter most. This deployment underscores our ability to deliver comprehensive agentic solutions that make our client relationships deeper, stickier and more strategic. In 2026, we expect to begin selling technology plus talent as a combined offering. Here, rather than paying one price for AI agents and another price for humans, our clients will pay a single price per contact. TaskUs will guarantee 100% resolution rate and meaningful per contact savings from day 1. In exchange, our clients will allow us to deploy AI agents. It will be our responsibility to earn back the cost savings and additional margin by increasing the effectiveness of AI agents in these workflows. This model delivers immediate and guaranteed cost savings to clients frustrated by slow AI gains while giving TaskUs the opportunity to expand margins over time. Lastly, the third cornerstone of our strategy for the AI era is the automation of internal workflows and support operations in order to expand margins and elevate our service delivery. Today, from recruitment to training, quality to business intelligence, workforce management to human resources, accounting to finance, TaskUs employs thousands of people to ensure our frontline teammates successfully deliver for clients. Implementing automation and AI in these areas represents a huge opportunity to drive down support ratios and the cost of these services as a percentage of our revenues. A standout success this quarter was deploying AI agents into our talent acquisition engine. We developed an Agentic AI solution that works seamlessly across WhatsApp, Facebook Messenger, SMS and Workday. This agent corresponds with tens of thousands of TaskUs applicants gathering information, walking them through preemployment requirements, conducting candidate assessments and ultimately scheduling them for a final face-to-face interview. The impact has been significant. After launching the AI agent, we've seen a 50% to 60% increase in hiring efficiency per recruiter. By eliminating these mundane administrative tasks, we're simultaneously reducing our cost to hire, improving the applicant experience and freeing our recruiters to focus on high-value candidate interviews, ensuring TaskUs remains the employer of choice. In 2026, our goal is to replicate this success across all of our support teams and dramatically increase the efficiency of our support organization. We're pleased with the strategic progress we're making in the current environment. But as we acknowledged last quarter, our AI transformation journey will not be a straight line. Our increased use of AI agents will automate work performed by human talent and may create short-term revenue headwinds. While our transformation investments will reduce our margins in the near term, ultimately, we believe this 3-part strategy will position TaskUs as an industry leader for business solutions delivered through a combination of technology and talent. Long term, we believe TaskUs can achieve durable double-digit revenue growth while maintaining industry-leading adjusted EBITDA margins. Before handing it over to Balaji for more details on our Q4 results, I want to quickly outline our Q1 and full year 2026 revenue and margin outlook. In Q1, we expect to deliver revenues between $296 million and $298 million, representing year-over-year revenue growth of approximately 7% at the midpoint. As discussed last quarter, Q1 revenue will be impacted by 2 factors on a sequential basis. Consistent with last year, first, we expect an approximately $9 million negative revenue impact from 2 fewer working days in the quarter. And second, we expect a decline in seasonal revenues of approximately $8 million. Combined, this is a total sequential impact of approximately $17 million compared to Q4 of 2025. From a margin perspective, we expect to deliver 19% adjusted EBITDA margins for the first quarter. The decline from Q4 of 2025's 19.6% is driven by the sequential revenue declines I just mentioned, the increase in our AI transformation investments and the geo mix shift as recently signed AI Services contracts ramp in onshore locations where we typically realize lower margins. Turning to the full year. We expect 2026 revenue to approximate $1.21 billion to $1.24 billion, reflecting approximately 3.5% growth at the $1.225 billion midpoint of our guidance range. This deceleration of growth compared to 2025 is primarily driven by our largest client. As many of you are aware, since our Q3 2025 earnings call, our largest client has signaled they intend to leverage AI to drive efficiencies across their organization in 2026. We expect that this effort will impact some of the work that we do for them. With that said, our relationship with our largest client remains very strong. We are one of their largest and most strategic suppliers, and we expect to benefit from vendor consolidation in the medium term. We're also encouraged by the fact that our client continues to turn to us to support emerging initiatives in areas such as AI and augmented reality. We're optimistic about the growth prospects of the rest of the client portfolio in 2026. The growth will be led by the work we're doing for the autonomous vehicle and robotics sectors as well as foundational model developers. Combined, we expect revenue from companies in these categories to more than double in 2026. In our core business, while clients continue to automate simple, repeatable interactions, we're benefiting from vendor consolidation and trends towards outsourcing increasingly sophisticated workflows. As evidence of this, we expect that our top 20 clients outside of our largest client will see revenue grow by approximately 15% in 2026. Turning to margins. Consistent with Q1, we expect our adjusted EBITDA margins for the full year to be impacted by our AI transformation investments and that the timing of these investments will weigh most heavily in the second quarter of 2026. Recall, this transformation will take time, and we anticipate short-term revenue and margin headwinds as we shift to selling AI-led outcome-based solutions that, in some cases, will displace the work performed by our teammates today. We expect that this near-term revenue and margin pressure will improve over the course of 2026, resulting in anticipated full year adjusted EBITDA margins of approximately 19%. With that, I'll hand it over to Balaji to go through the Q4 financials and our 2026 guidance in more detail.
Balaji Sekar: Thank you, Bryce. It has been a privilege to serve as the CFO during such a transformative period for the company. I'm incredibly proud of the finance team we have built and the financial rigor we have put in place. While I'm looking forward to my next chapter, I remain a significant shareholder and have total confidence in TaskUs' long-term strategy. I'm working closely with the company over the coming months to ensure a smooth handoff. I will now focus on our full year and Q4 2025 results before moving to 2026 guidance. In the fourth quarter, we earned total revenues of $313 million, once again beating our guidance range of $302.4 million to $304.4 million. Revenue increased by 14.1% compared to the previous year, exceeding our expectation of 10.6% growth at the midpoint of our guidance. Our quarterly performance reflected strong year-over-year growth across all 3 of our service lines and higher-than-expected volumes from both new and existing clients across a broad range of verticals. Full year 2025 revenue increased year-over-year by 19% to $1.184 billion, well above the top end of our guidance range of $1.175 billion. We ended the year with approximately 50% of our 200 clients delivering revenues in excess of $1 million. More importantly, we successfully executed on our strategy of increasing share among our largest clients. Here, we grew our $5 million-plus cohort to 41 clients, up from 38 last year and expanded our $10 million-plus client cohort to 21 compared to 17 in 2024. This performance underscores the importance of diversifying our revenues among many large clients and our ability to capture a greater share in these critical relationships. We continue to have a strong relationship with our largest client, which represents 26% of our total revenues in Q4 compared to 27% in Q3 of 2025 and 25% in Q4 of 2024. As we continue our efforts to diversify our revenue mix, we anticipate our top client revenue concentration will continue to decline over the course of 2026. In Q4, our top 10 and top 20 clients accounted for 59% and 72% of our revenue compared to 57% and 69% in the previous year. In Q4, we saw a 19% year-over-year increase in the number of clients utilizing more than one of our service lines. Revenue from these clients grew approximately 19% year-over-year in Q4, again demonstrating the success of our strategy of cross-selling our suite of specialized services to our clients. In the fourth quarter, we generated 52% of our revenues in the Philippines, 11% of our revenues in the United States, 14% of our revenues from India and 23% of our revenues from the rest of the world. Our global delivery footprint continued to see robust expansion in the fourth quarter. Latin America continued to be our fastest-growing region, expanding by approximately 45% year-over-year in Q4. Europe also delivered strong momentum with growth exceeding 25%. Our Asia Pacific region grew more than 10% year-over-year, led by sustained demand in India and the Philippines. As a reminder, geographic delivery location remains the primary driver of our gross margin, carrying more weight than this specific service line being delivered. We ended the year with approximately 65,500 global teammates, an increase of approximately 1,700 since the end of Q3 2025. Now moving on to our service line performance. In the fourth quarter, our DCX offering generated $172.7 million for a year-over-year increase of 4.8%. From a vertical perspective, DCX's overall growth was primarily attributable to clients in our financial services, health care and technology verticals where our strategic focus again produced solid revenue results. Our Trust & Safety business, which includes our content moderation and financial crime and compliance services, grew by 18.2% compared to Q4 of 2024, resulting in $82.7 million of revenue. Here, growth was predominantly driven by increased revenue from existing clients in our social media vertical. We continue to be excited about the long-term opportunities in this service line. Our AI Services service line growth was 45.9% on a year-over-year basis in Q4, resulting in $57.5 million in revenue. This was primarily a result of growth from existing social media and travel and transportation clients requiring support for their generative AI development, training and testing and autonomous vehicle initiatives. We expect AI Services to be sour fastest-growing service line again in 2026 as a result of recent wins and ongoing demand from developers of autonomous vehicles, robotics and foundational model technologies. Now moving on to profitability. In Q4 of 2025, we earned adjusted EBITDA of $61.4 million, a 19.6% margin compared to $60.1 million of adjusted EBITDA implied by our midpoint guidance. This represents 14.1% year-over-year growth in adjusted EBITDA compared to $53.8 million we achieved in Q4 of 2024 and a consistent year-over-year margin of 19.6%. For the full year, we achieved $249.1 million in adjusted EBITDA and adjusted EBITDA margin of 21%. This exceeded the $247.7 million in adjusted EBITDA implied by the midpoint of our guidance. On a year-over-year basis, we grew adjusted EBITDA by $39.2 million or 18.7%. Our Q4 margins compared to the previous year were impacted by annual wage and benefits cost inflation, including mandatory statutory changes in certain offshore geographies, the addition of new sites, hiring and training initiatives and changing business mix due to higher growth in Latin America and Europe. We also increased our investments in AI transformation in Q4, a trend we will continue to see throughout 2026. These impacts were partially offset by efficiency improvements in both cost of service and overhead functions, which we began implementing earlier in 2025. Cost of service as a percentage of revenue was 63.6% in the fourth quarter compared to 61.9% in the prior year. The year-over-year increase was driven by a number of factors, including costs associated with annual wage and benefits cost inflation, the geography mix shift I just mentioned, and incremental hiring, training and facilities costs related to stronger growth. These factors were partially offset by operational improvements we began implementing earlier in 2025. In the fourth quarter, SG&A expenses were $59.4 million or 19% of revenue compared to $67.8 million or 24.7% of revenue in the prior year. The decrease was primarily driven by lower personnel expenses, including a reduction in stock-based compensation and a reduction in litigation-related expenses. Adjusted net income for the quarter was $37.1 million and adjusted EPS was $0.40. This reflects nearly 30% growth in our adjusted EPS versus the year ago period when we earned adjusted net income of $28.5 million and adjusted EPS of $0.31. Our weighted average share count in both the periods were relatively consistent and therefore, not a material driver of our adjusted EPS improvement. For the full year, adjusted net income was $151.7 million and adjusted EPS was $1.63. This compares to adjusted net income of $118.7 million and $1.29 of adjusted EPS for full year 2024. Now moving on to our balance sheet and cash flow. Cash and cash equivalents were $211.7 million as of December 31, 2025, compared with the December 31, 2024 balance of $192.2 million. Our adjusted net debt leverage ratio declined further in Q4, ending the year at 0.1x of adjusted EBITDA. As a reminder, we calculate this ratio as total debt less cash divided by adjusted EBITDA for the trailing 12-month period. Cash generated from operations for the full year 2025 was $137.2 million as compared to $138.9 million at the end of 2024. Higher net income in 2025 was offset by an increase in working capital related to our strong revenue growth in 2025. For the full year, CapEx was $63.5 million or 5.4% of revenue compared with $39.1 million or 3.9% of revenue in 2024. This full year increase was driven largely by facility expansion due to revenue growth. For the full year, adjusted free cash flow was $89.9 million or 36.1% of adjusted EBITDA. This was below our guidance of approximately $100 million, primarily due to working capital increases required to support our higher 2025 revenue performance compared to guidance. In terms of our financial outlook for the full year, we anticipate full year 2026 total revenues to be in the range of $1.21 billion to $1.24 billion. This represents $1.225 billion and a 3.5% growth at the midpoint of our guidance. We expect to earn full year 2026 adjusted EBITDA margin of approximately 19%. This margin captures the additional investments we are making to embrace generative AI and agentic AI technologies and typical wage inflation in excess of our ability to pass this on to our clients. We expect to achieve approximately $100 million in adjusted free cash flow for 2026. We anticipate capital expenditures will decline slightly in 2026 due to fewer facility expansions, offset by the timing of payments for capital expenditures that started in 2025, routine refresh of technology assets and our continued investments in security infrastructure. As we announced earlier today, we have secured commitments to refinance our existing credit facilities to address the upcoming 2027 maturities and return capital to our shareholders. The $500 million term loan and $100 million revolving credit facility mature in March 2031 and at our election will bear interest of SOFR plus 2.75%. We expect the term loan to fund in March prior to payment of the $3.65 per share special dividend we announced earlier today. For the first quarter of 2026, we anticipate revenues to be in the range of $296 million to $298 million, reflecting approximately 7% year-over-year growth at the midpoint, and we expect to earn an adjusted EBITDA margin of approximately 19%. First quarter revenue and adjusted EBITDA margin will be impacted by lower seasonal revenues and 2 fewer working days in the quarter compared to Q4 of 2025, a combined negative impact of approximately $17 million, along with the strategic investments in our AI transformation that Bryce discussed earlier. Our guidance for the quarter and full year is based on current ForEx rate estimates, so any change to currency rates to the extent not hedged would impact our margins. As a reminder, the majority of our revenue is billed and collected in U.S. dollars, so we do not see the impact of U.S. dollar fluctuations in our revenue. I will now hand it back to Bryce.
Bryce Maddock: Thank you, Balaji. Before we take questions, I want to take a moment to highlight another incredible TaskUs teammate story. At TaskUs, our ridiculous culture isn't confined to our sites. It lives and breathes in the passions of our teammates. Miles Nicole Gianan is a quality supervisor at our Lizzy's Watchtower site in Manila, Philippines. He's also the President of TUCLAS, the TaskUs Climbers Association. TUCLAS started with a simple belief, human well-being is deeply connected to the health of the natural world. What began as a group of teammates going for hikes quickly turned into a deeper responsibility to protect the trails and the communities they visited. These hikes evolved into powerful volunteer initiatives, cleanup drives expanded into donation cycles, tree planting and community outreach. In November, TUCLAS summitted Mount Pulag and in early 2026, completed a twin hike featuring trail cleanups and environmental workshops focused on sustainability. This organic movement is a shining example of TUgether We Serve, TaskUs' global campaign where our teammates contribute tens of thousands of hours to volunteer activities in the communities we support. On a personal level, I've been inspired by TUCLAS and recently completed an incredibly rewarding trail cleanup mission of my own. With my 3 young kids in tow, it was a memory that I will never forget. With that, I'll ask the operator to open the line for our question-and-answer session. Operator?
Operator: [Operator Instructions] Our first question will come from the line of Jonathan Lee from Guggenheim Partners.
Yu Lee: Balaji, it's been a pleasure working with you over the years, wishing you the best and Trent, congratulations on the expanded role here. First, I want to talk through sort of the '26 outlook here. What's contemplated there across the low end and the high end? And how much go get is needed? And can you talk through the expected service line acceleration versus deceleration in the near to medium term?
Bryce Maddock: Yes, Jonathan, thank you so much for the question. So as always, we try to put forth an outlook that we feel like we can deliver and exceed. And so as we look at the range here, one of the biggest factors is just getting a sense of where the largest client will go in 2026. As you know, we've been through periods of rapid expansion, as last year, we grew by 41% with our largest client. We've also been through periods where revenue has contracted there, which happened in 2023. And so we've been having conversations with them walking through plans to automate portions of their volume. Clearly, if those plans take effect in a more aggressive fashion that would drive us towards the low end. And if it takes longer, that would drive us towards the high end. The other component here is we're seeing increase in demand for AI Services, both from foundational model developers as well as in our autonomous vehicle and robotics segment. And so those growth rates have been very aggressive. As I mentioned on the call, we saw or we're forecasting that revenue from our AV and foundational model clients will more than double in 2026. And certainly, if we see an acceleration in those growth rates, we would be at or above the high end of the guidance range. From a service line perspective, we anticipate continued growth in AI Services and in our DCX line of business. The line of business that is probably at most -- under most pressure in 2026 due to automation is the Trust & Safety volumes that we have at our largest client. So all that to say that it's the beginning of the year, and we have a track record of setting fairly conservative guidance, and our intention is to go out and really drive towards the high end of what we provided today.
Yu Lee: Bryce, just as a follow-up, can you help us understand the types of investments you're looking to make through the year and how you're thinking about layering in those costs over the course of the year?
Bryce Maddock: Yes. So we're already underway to expand the team that's focused on our AI transformation. We built out a strong AI consulting organization that is actively deploying pilots and production versions of agentic AI instances to our clients in the customer service space. I gave an example on the call of a really successful implementation with a client in a regulated industry. So that's a large investment for us. We're also continuing to expand our investment in our internal technical team. We believe that we can drive material improvements in our support spending. Very encouraged by the increase in efficiency that we've seen in talent acquisition, where the AI agent that we launched in Q4 has increased our recruiters' ability to hire teammates by 50%. In 2026, we're looking to see similar gains across all of our support organizations from business intelligence, workforce management, quality, our internal help desks. And so we think that will help significantly with margin protection. And then lastly, we're really leaning into AI Services and the demand that we're seeing there from foundational model developers and the autonomous vehicle and robotics segments. And so we're making heavy investments in bringing in talent to lead the go-to-market and consultative functions in those areas.
Operator: Our next question will come from the line of Antonio Jaramillo from Morgan Stanley.
Antonio Jaramillo: I wanted to first start on pricing. Where are you guys finding opportunities to push through pricing versus where are you guys getting some more pushback? And then this might have been, like, disclosed during the call, but how are you factoring pricing into your margin guidance?
Bryce Maddock: Yes, Antonio, thanks for the call. The pricing environment is definitely dynamic at the moment. Given the slow rate of growth in the overall industry, there is more competitiveness in pricing really over the last, I'd say, 18 months than we've seen historically. With that being said, we feel like we're in a premium position, particularly in the services that we're offering in AI Services and some of the premium customer support services that we're offering. Our ability to go and continue to take share based on the quality of our operational delivery is part of what drove that growth story in 2025. Again, we know that there was a huge amount of growth driven from our largest client. But even in Q4, we saw the growth rate from all clients outside of our largest client accelerate again to 12.7% year-over-year. And so I think that's just a testament to the strong operational execution that's giving us an ability to continue to command a premium price. One thing that is weighing on the margins is a continued geo mix shift. So a lot of the work that we're going to be doing in the AI Services space is going to be done onshore. And so as a result of that growth, we tend to have lower margins in our onshore environments versus our offshore environments. And so as we contemplate 2026 revenue, we're seeing an uptick in revenue as a percentage or a percentage of overall revenue in our onshore environments versus our offshore environments like the Philippines and India, where gross margins tend to be higher. And so that's a factor that's weighing on margins, along with just our commitment to continue to invest more aggressively in our AI transformation.
Antonio Jaramillo: Yes. That's helpful. And then as a follow-up, like good to see that you're going to see like your top 20 clients grow rev at 15%. Where are they trying to like lean into services across your portfolio?
Bryce Maddock: Yes. So again, that stat is that if we exclude our largest client, we expect our top 20 clients, so the clients 2 through 20 to grow revenue 15% year-over-year in 2026, which is consistent with what we saw from that cohort in Q4 of 2025. Really, this is a combination of taking share from competition. We're seeing pretty aggressive vendor consolidation across our biggest customers. Again, here, our strong operational execution is a big part of that story. We're also seeing some exponential growth rates in clients in emerging industries. Here, our relationships with the foundational model developers and the leaders in the autonomous vehicle spaces are driving significant revenue growth. If we look at just clients in those 2 spaces, revenue will more than double in 2026 when compared to 2025. So that's some of the underlying dynamics in that top 20 cohort.
Operator: Our next question will come from the line of David Koning from Baird.
David Koning: Good job. And I guess, my first question, if we think of the big undertaking of kind of shifting some of the work to different types, when we look out a couple of years, few years maybe, how much of the revenue base at that time will be similar to what it is today? And I guess I'm asking the question, because is what you're adding going to be incremental to what you do today and you'll continue to do a lot of the same things? Or is a lot of it going to replace given your expectation that some of the revenue today will go away? I'm just kind of thinking through the mix of business, how it changes and how that churns.
Bryce Maddock: Dave, thanks for the question. So historically, our industry and our business has seen consistent trends of automation and reinvention. And if I think back to when we started TaskUs, the first few clients we had were doing things like transcribing voice mail messages or transcribing receipts, things that have been automated for well over a decade now. And we've been able to grow the business by discovering emergent forms of demand and then going into those forms of demand and developing a real expertise. And so, I'd say that what we're seeing today with all of the excitement around AI is very similar to what we've seen in the past, but just at an accelerated pace. So we're fully aware that the current trend will lead to automation of simple customer service volumes. We're very lucky that most of the customer service work that we're embarking upon doing, we're doing at the moment is, our premium volumes where our clients have been certainly, in some cases, resistant to automating in other cases, actually interested in increasing their investment in these types as they automate simple work types. But I'd say if we look forward a few years to what our customer experience business will look like, it really is going to be that technology plus talent solution-based business. We're going to see our business evolve away from charging for hours to actually charging for outcomes where TaskUs owns the end-to-end experience, whether it's solved by an AI agent or a human expert. If I think about areas where we've got real tailwinds, our AI Services business, which has been the fastest-growing service line for TaskUs for more than 5 quarters and will continue to be our fastest-growing service line as we go into 2026 is a real success story. Because whether it's our foundational model developers, our social media clients or emerging new forms of demand in autonomous vehicles and robotics, we're just seeing huge amounts of demand for data collection, data annotation, evals and other forms of work that are needed to make those endeavors function. And so I think we're going to see that business continue to scale and become a bigger and bigger portion of what we do. I'd say the Trust & Safety business will continue to endure, but this is a business which I think will probably have the lowest growth rate in 2026, given the impact that automation is likely to have on some of those core content moderation volumes. So as we think about where the business will be in 3-plus years' time, I think we'll continue to see DCX transform into being a combination of technology and talent and the AI Services business continue to grow exponentially.
David Koning: Yes. All makes sense. And my follow-up, just thinking about interest expense, it seems like there's 2 cash outflows, one being the $333 million dividend. But then it looked in the press release that there was $160 million non-recurring litigation payment that might be made as well. And just putting that in context with the new debt, just is interest expense going to be like $40 million or so going forward? Or how do we think of that?
Balaji Sekar: So, Dave, thanks for the question. So in terms of the interest expense, like we called out today, it's going to be SOFR plus 2.75% from an interest cost perspective. And in terms of the -- just a reconciliation in terms of what we're going to be getting is like we will have about $100 million of revolver and about $500 million of new term loan that we're going to be getting. And then about $333 million will be paid out as a dividend. And then just in terms of amortization, what is going to happen is that, we do have a payment holiday starting -- and we'll start paying about Q3 of 2026, then about 5% annually for the first 3 years and then about 7.5% in year 4 and 10% in year 5. And then in terms of interest cost, you're right. That's about approximately what that would be at SOFR plus 2.75%.
Operator: Our next question will come from the line of Puneet Jain from JPMorgan.
Puneet Jain: So this year's guidance implies like flat to modest positive growth by this year-end. And I know you talked about like headwinds at large client, which will impact growth rates. Is there a way to think about like how much of the existing book of business has exposure to AI-related automation similar to what you expect for the large client? And how much of would have happened by the year-end?
Bryce Maddock: Yes. Thank you, Puneet. So obviously, we're not providing quarterly breakdowns of what the rest of the year is going to look like, but our intention is to continue to drive year-over-year revenue growth for every quarter of the year, and the team is obviously working very hard to do that. There -- we understand the concern around AI-related exposure in our business. And clearly, there's been quite a lot of concern about this in really all service businesses off late. What we would say is we continue to see clients lean into automating simple, repeatable work types, and we certainly have been part of that solution in our Agentic AI consulting practice, where we're able to automate a significant portion of inbound calls, e-mails, chats that are fairly simple. But many of these clients are also reinvesting a portion of that savings in improving their customer experience through human interactions for premium customers or in critical care situations. And so we're benefiting from growth across many of our clients. In fact, in -- amongst most of our largest customer experience clients revenue has grown in 2025, and we expect it to grow again in 2026. And so while there is automation taking place, in general, we continue to benefit from growth in industries that I think people felt were kind of squarely at the bull's eye of AI-related automation. In the medium term, we want to be part of the solution. And so growing our agentic AI consulting practice, expanding our AI Services business is going to be part of reinventing TaskUs into the future service provider that we will become. And ultimately, we see ourselves as evolving from being mostly an hourly-based service into an outcome-based solution where people can come and purchase a combination of technology and talent to deliver for their clients.
Puneet Jain: Got it. And there has been like a lot of news flow around AI, agentic AI over the last few weeks. Are you seeing like your clients respond to all that news flow with a new sense of urgency? Like is there any change in client behavior as all this news around Anthropic and stuff? Like has that changed your clients' behavior in terms of the speed at which they are moving and trying to embrace some of those AI solutions at all?
Bryce Maddock: It certainly has increased excitement. And amongst our clients, we're working actively to leverage that excitement into pilots and production versions of the AI agents that we are selling to customers in partnership with Decagon and with Regal. And also continue to expand our AI Services business, where we're seeing AI winners, foundational model developers, robotics companies, autonomous vehicle companies continue to spend more and more on data collection, data annotation and evals that are necessary to build out their models. As far as the recent news and some of the agents that have been published in the last month or so, I'd say that most of our clients are still in a discovery phase. It's one thing to deploy AI agents as a consumer. It's a very different thing to think about deploying end-to-end autonomous agents into an enterprise environment. So there are security concerns and legal concerns that clients have that I think will make that type of adoption a bit slower. But certainly, it's on the road map for most of our clients. It's something that we expect to see over the medium term.
Balaji Sekar: I agree. Bryce, I just wanted to follow up on one of the questions that Dave had on the cash flows. So David, just to clarify, the $160 million is net cash from operating activities that we're expecting for 2026, and that excludes any litigation payment that may happen. So that's the $160 million is actually the cash -- operating cash that we are planning for 2026, just to clarify.
Operator: Our next question will come from the line of Maggie Nolan from William Blair.
Margaret Nolan: The AI Services, obviously, that's really robust growth, and it sounded like it was a substantial portion of the bookings as well. How sustainable do you view this level of growth? And how big do you think this segment could become in the next couple of years?
Balaji Sekar: Bryce maybe -- you maybe on mute.
Bryce Maddock: Can you guys hear me?
Balaji Sekar: Yes.
Bryce Maddock: Okay. Sorry, did not of my answer come through?
Margaret Nolan: No, Bryce. I did not hear any...
Bryce Maddock: Okay. Great. Sorry about that. Well, it was a brilliant answer, Maggie. I'll do my best to recreate it. So what I was saying about AI Services was, this is certainly the segment that we're the most excited about. When we think about the growth rate that it drove in 2025 and what we expect it to drive in 2026, we're seeing demand from foundational model developers, autonomous vehicle companies and robotics companies, all of which have healthy amounts of funding to spend on continuing to refine and improve their models through the type of work that we're doing, both in data collection, data annotation and in evals. The one call out I would make is that AI Services tends to be more project-based in nature. And there is -- there are some work that we are doing for clients in the social media space that could make revenue growth rates inside the service line choppy at times. With all that being said, we expect AI Services to be our fastest-growing service line in 2026 overall, and it continues to be what we're most excited about in terms of driving growth in the business over the medium term.
Margaret Nolan: Okay. Great. And then on the top clients, I mean, obviously, there's a concentration there in your revenue and they're able to probably move, I would assume, faster than maybe other clients in terms of things like, in the past it's been offshoring, now it's automation, those types of things. Can you maybe help us understand how you're assessing the potential for similar things to happen across your client portfolio versus the specific relationship and concentration that you have with that top client?
Bryce Maddock: Yes. So first, in terms of the relationship with the top client, it remains very strong. We're one of their core vendors, and we anticipate that over the medium term, we will see vendor consolidation that will benefit TaskUs. As I said earlier, we go through periods of expansion and contraction with our largest client. Last year, revenue grew by 41%. We saw a contraction in 2023 of about 17%. And so as we head into 2026 and they are successfully investing in automating Trust & Safety volumes, we expect revenues to contract somewhat in this year. But as we look out to 2027 and beyond, we believe that we can get back to growth in that relationship. As far as the other clients go, it is true that our largest client is very technically advanced and deploying models aggressively. But the same is true for many, if not most of our clients. We focused historically on high-growth technology businesses, and so these businesses are on the forefront of automation. And despite that, if we look at clients # 2 through 20, we're seeing a forecast for 2026 of about 15% revenue growth. And that's due to vendor consolidation. It's due to us working with these clients through our agentic AI consulting practice to embed solutions that combine technology and talent and just overall strong execution. So I wouldn't say that what's happening at our largest client is a forecast for what's to come in other clients. If anything, I actually think over the medium term, we are in a position to get back to growth with our largest customer and sustain the growth that we're seeing with other large clients.
Operator: And with that, this will conclude today's conference call. Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone, have a great day.